Operator: Good day, and welcome to the TransUnion 2022 Third Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Aaron Hoffman, Senior Vice President, Investor Relations. Please go ahead.
Aaron Hoffman: Good morning, everyone and thank you for joining us today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses and other items as well as certain non-GAAP disclosures and financial measures, along with their corresponding reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded, and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, in the comments made during this conference call and in our most recent Form 10-K, Form 10-Q and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me turn the time over to Chris.
Christopher Cartwright: Thank you, Aaron and let me add my welcome and share our agenda for the call this morning. I'll first discuss the economic conditions in TransUnion's markets around the world and then provide an overview of our solid in range financial results for the third quarter. I'll also review the encouraging performance of our recent acquisitions and the strong progress we've made to deliver our targeted savings, revenue acceleration, and sharing of their market leading technologies across the enterprise. Todd will then take the reins and review in detail our third quarter results and our full year guidance. Thus far in 2022, consumer financial health has remained positive versus pre-pandemic conditions supporting growth across TransUnion, especially in our emerging markets. Consumer employment, income, spending, balance sheets and credit performance have been strong year-to-day. However, the dramatic increase in inflation globally, especially in our developed markets of the U.S., the U.K. and Canada, have begun to pressure household finances leading to a reduction in savings rates, increasing credit balances, and modestly higher credit delinquencies. As a result, businesses have adopted a more cautious outlook given rising market uncertainties. In the U.S., the U.K. and Canada year-to-date, soaring inflation and higher interest rates have primarily impacted below prime consumers. Emerging markets such as India and South Africa have digested higher inflation and other challenges and still delivered strong growth. We expect this positive performance to continue in the foreseeable future. In the U.S., higher inflation and interest rates have negatively impacted several of our businesses. Increased borrowing costs due to higher rates has decimated mortgage refinanced volumes and slowed new purchases due to an imbalance between historically high home prices and dramatically decreased affordability. And as we discussed last quarter, a shortage of multifamily housing along with higher home ownership costs has caused rental rates to skyrocket and move volumes to decline precipitously negatively impacting our tenant screening business. And although performance in our credit card and consumer lending verticals remain strong, lenders have reduced new customer acquisition in response to growing pressure on household finances and prioritize customer retention and portfolio risk assessment. Growth in the auto market also remains positive, albeit constrained by the well publicized supply chain challenges. And our large bank customers during their recent earnings calls indicated that while the U.S. consumer remains strong, they are preparing their balance sheets for the material economic headwinds they anticipate in 2023. Higher inflation has similarly dampened marketing activity in the insurance industry with carriers prioritizing rate increases over customer acquisition due to rising repair and replacement costs. Given the complexity insurers face obtaining rate increase approvals for the policies they offer in each state in which they operate, it will take some time before they secure the necessary price increases to resume their full marketing activity. We believe that carriers will succeed in obtaining higher coverage rates, and that once they do our insurance vertical will return to its typical high single digit to low double-digit growth rate as carriers resume marketing and consumer shop for the best coverage and price. And finally, activity remained brisk for our marketing services products in the quarter. Although, we anticipate that as economic uncertainty grows, brand owners, media companies and ad agencies will reduce volumes in certain end markets with the greatest risk coming in 2023. And now turning to our third quarter performance. We posted solid results within our guidance range despite increasingly difficult conditions due to the economic pressures I previously discussed. Our strength in the quarter came from several verticals in the U.S. and our International segment overall. U.S. financial services grew 9%, excluding mortgage on top of healthy 31% growth in the year ago quarter. Our media vertical grew double-digits and insurance also posted mid single digit growth, despite the carrier marketing slowdown. And International grew by 16% on a constant currency basis, with five of our six regions growing double-digits led by 39% growth in India, 24% growth in Asia-Pacific, and 18% growth in Africa. We also delivered adjusted EBITDA margins at the high end of our range, reflecting our high flow through margins, cost savings from the Neustar acquisition and prudent expense management overall. And as I will discuss in a moment, our acquisitions performed ahead of our expectations for the quarter as we continue to build revenue momentum and achieve our cost synergies. Given the increasingly challenging market conditions, we have reduced our fourth quarter and full year guidance to reflect the impact of higher inflation across the markets we serve. We've also broadened our guidance range, given the economic uncertainties. First, FX headwinds worsened in the quarter and we now estimate an incremental $12 million reduction in the fourth quarter as a result. We expect the unusually strong U.S. dollar to persist throughout 2023 and temper the impact of the strong performance of our International segment. Second, for the fourth quarter, we reduced U.S. mortgage revenues by a further $7 million, still within our prior range of 30% to 35% down, but now trending to the lower end of the range. Third, we reduced revenue expectations across the non-mortgage U.S. markets portfolio by $33 million across the base of approximately $2.1 billion due to softening market conditions. And finally, I want to emphasize that we did not reduce our outlook for International, given the strong performance year-to-date and continuing positive conditions in our emerging markets. We continue to monitor our performance closely in our 30-plus non-U.S. markets and our management teams continue to perform well despite higher inflation and interest rates, and even rolling electrical blackouts in South Africa. We also maintain our estimates in consumer interactive as it remains on track to achieve the targets we outline in the last quarter. But now turning to our three acquisitions. We've made substantial progress integrating them into TransUnion this year. Each acquisition is on track against our business cases and the expectations we set on prior calls. Importantly, we believe our results thus far and the market feedback we've received proves the rationales for the deals and the power of combining them in a TransUnion. Starting with Neustar, revenue grew mid single digits in the corner, in line with our full year expectations across marketing, fraud and communications. In our increasingly integrated TransUnion and Neustar marketing solutions grew high single digits year-to-date. As we continue to execute against our growth pipeline, we announced meaningful new marketing sales during the quarter to iHeartRADIO, Stirista, and InfoSum, as well as a partnership with Snowflake. Despite industry caution about future advertising levels, we see strong interest in the full family of Neustar marketing solutions, which provide benefits throughout market cycles. In a tighter advertising environment, marketers seek to optimize their spending and demonstrate the impact of their campaigns with reliable quantitative measures. With the decline in digital identifiers, marketing platform providers also need to prove the impact of advertising within their walls. Neustar is well-positioned to provide these objective metrics on marketing -- on the marketing performance of these sites. In communications, we signed new business with LiveVox and Transaction Network Services during the quarter. We also continue to see meaningful growth from our innovative family of Trusted Call Solutions, which include branded call display, and caller name optimization. Both help businesses authoritatively identify themselves and reestablish trust in phone-based outreach to consumers, as 88% of all business calls go unanswered due to the proliferation of robo calling, scam calls and blocked or unknown numbers. Companies across a wide spectrum of markets, including financial services, insurance collections, healthcare and utilities use Trusted Call Solutions to double or even triple call pickup rates, sales and conversion rates. We have almost a thousand customers using this solution and we're added to the T-Mobile network last year in the AT&T network this year. At this stage, we estimate that we've tapped under 10% of the potential U.S. market sending us up for significant future growth. Going forward, we expect that our growth will accelerate through successful cross-selling between Neustar and TransUnion. We continue to sign new insurance collections and financial services accounts for Trusted Call Solutions and converted several material opportunities in quarter and are building our sales pipeline for next year. We also continue to successfully integrate TransUnion superior data assets into Neustar state-of-the-art data management platform, OneID, into realize cost savings and performance improvements. Our combined data assets have increased our phone coverage by 15%, email coverage by 10%, and improved the robust linking and matching capabilities across our non-credit solutions. And as part of our plan cost synergies, we expect to close seven data centers this year, reducing Neustar's physical footprint by over 90%. We've also migrated almost 90% of their products in data management services to a new lower cost public cloud provider. To wrap up, Neustar's adjusted EBITDA margins margin was about 29% in the third quarter, driven by revenue growth and our cost reduction initiatives. We expect the full year margin to also be 26%, up 500 basis points from 2021. We also have line of sight to achieving our commitment of 70 million-plus in cost savings through integrating Neustar, which we expect will provide a meaningful offset to potential margin compression during an economic slowdown or a full blown recession. Now turning to Sontiq. Revenue grew in the mid teens, with a low thirties margin in line with our full year expectations. We continue to see strong traction with insurance customers both domestically and abroad, with more than 40% of newly identified opportunities coming internationally. We also have a growing pipeline of opportunities in financial services. And as we mentioned last quarter in consumer interactive, we can now win business. We would not have been previously able to through TransUnion and Sontiq combined strength. This combination has resulted in an eight figure win for our indirect business that we expect to monetize in 2023. Finally, Argus revenue grew 4% in the quarter at a margin of 19%. For the full year, we expect revenue growth in the low single digits, with the 20% margin, or 34% excluding integration costs. We've already seen strong levels of customer interest, both from consortium members and non-members interested in joining and finding new ways to use the Argus data and insights, revitalizing the delivery of Argus data on TransUnion's digital platforms, as well as infusing our thought leadership will be key to realizing higher sales levels. That wraps up my update on our market backdrop, third quarter performance and the integration of our three acquisitions. Now, Todd will walk you through our third quarter and full year 2022 guidance. Todd?
Todd Cello: Thanks Chris, and let me add my welcome to everyone. I'll start off with our consolidated financial results. Third quarter consolidated revenue increased 26% on a reported and 29% on a constant currency basis. Neustar, Sontiq and Argus added about 27 points to revenue and organic constant currency growth was 1%. Our business grew 5% on an organic constant currency basis, excluding mortgage from both the third quarter of 2021 and 2022. On a trailing 12 month basis, mortgage represented about 7.5% of our revenue, and we expect that to fall to below 7% for the full year.  Adjusted EBITDA increased 13% on a reported and 15% on a constant currency basis. Our adjusted EBITDA margin was 36.3%, down 430 basis points compared to the year ago quarter, driven primarily by Neustar's lower margin profile. Excluding the Neustar, Sontiq, and Argus acquisitions, the margin would've been 38.6%, down about 200 basis points compared to the year ago third quarter. Third quarter adjusted diluted EPS increased 2% driven by adjusted EBITDA growth offset by higher interest expense. Now looking at segment financial performance for the third quarter. U.S. market's revenue was up 38% compared to the year ago quarter. Organic revenue declined 2%, what was up 5% excluding mortgage. Adjusted EBITDA for U.S. markets increased 18% on an as reported and declined 9% on an organic basis. Adjusted EBITDA margin declined by 610 basis points, but would've been down 300 basis points, excluding the Neustar and Argus acquisitions. Diving into the results by vertical, please note that to date we have included Neustar's financial results within emerging verticals. As we evaluate our operating structure as a fully integrated business, we will provide you with any necessary updated financial information. Financial services revenue grew 5% as reported and was down 4%, excluding Argus. Excluding mortgage, organic constant currency revenue growth was 9%, despite 31% growth in the third quarter of 2021, implying a 20% two-year growth CAGR. Looking at the individual end markets, consumer lending continues to be strong as high levels of activity persisted throughout the quarter, leading to 10% growth on top of almost 60% in the year ago quarter. While lower marketing activity reveals some softness emerging and below prime credit tiers, we are seeing FinTech lenders recalibrate their activity from customer acquisition to retention. We are also seeing incremental activity around debt consolidation, which had slowed considerably in 2020 and 2021 when consumer balance sheets reached their peak. At the same time, we continue to see growth from our strong BNPL position. Similarly, our credit card business had another good quarter, growing 9% after growth of nearly 30% in the year ago quarter. Issuers continued to fight for top of wallet position driving all channel marketing spend, as well as incremental use of alternative data in more sophisticated tools for pre-qualification and origination. While we haven't seen pullback in this activity yet, we are taking a cautious stance regarding fourth quarter activity. Our auto business delivered high single digit growth in the quarter as new business wins and on trend innovation, particularly related to digital retailing helped offset lingering inventory issues for new and used vehicles. While demand remains relatively strong, we are beginning to see some softening caused by consumer affordability challenges driven by elevated vehicle prices and interest rates. To this point, the average new vehicle price in the U.S. is expected to rise to about $45,000 this year, a staggering increase of $10,000 over the past two years. For mortgage, rates have continued to rise with the average 30-year fixed rate mortgage up more than a point from the end of the second quarter and more than double what it was a year ago. This is substantially affected the total inquiry market, especially refinances. For the full year, we continue to expect the inquiry market to be down 40% to 45% and our revenue to fall 30% to 35%. We designed our late July outlook to be conservative and to anticipate further headwinds, including higher rates and inflation without much if any reduction in home prices. Backdrop has largely played out as we expected, and therefore we are not altering our full year outlook. As a reminder, we expect our business to perform better than the market as a result of volumetric pricing increases. Increased demand for targeted marketing solutions as the market tightens and increased interest in home equity lending products like HELOCs as a result of substantial home equity increases. Let me now turn to our emerging verticals, which grew 91% on a reported basis and 1% excluding the revenue associated with Neustar. Insurance delivered another good quarter with mid single digit growth, despite the slowdown in marketing, Chris described and building on a very strong year ago quarter when revenue was up more than 20%. We continue to see strength from our innovative solutions in commercial and life applications, as well as DriverRisk in our traditional private auto market. As Chris mentioned, in addition to these organic opportunities, our recent acquisitions are driving significant incremental growth opportunities. Our public sector vertical decline in the quarter due to the timing of several deals. We remain confident that this business will return the growth in the fourth quarter. Tenant and employment screening grew slightly as a result continued softness in the tenant market driven by fewer renters moving as inventory levels have tightened and rental rates have risen sharply. Employment screening, a smaller portion of this vertical continues to deliver attractive growth. Though, we've seen signs of softness as employers take a more cautious approach to hiring. Our media vertical grew double-digits again in the quarter, and we continue to sign or expand contracts with leading social platforms and media companies that serve a broad range of categories. Consumer interactive revenue, which includes Sontiq, increased 9% on a reported basis and declined 9% organically due to decreases in both the direct and indirect channels. Adjusted EBITDA was up 5%, but down 6% excluding Sontiq. Similar to the second quarter, moderating consumer demand for paid credit related solutions across both the indirect and direct channels and challenging multiyear comparisons to exceptionally strong performance in the direct channel in both 2020 and 2021, adversely impacted revenue. This is largely a result of a marketplace shift towards freemium offerings for credit monitoring. Partially offsetting this is continued strength in identity protection, an area where our Sontiq acquisition enhances our capabilities. On the indirect side, the restructuring of one of our key partnerships last year and some non-recurring breach revenue have created an unfavorable year-over-year comparison. For my comments about International, all comparisons will be in constant currency. For the total segment, revenue grew 16% with five of our six reported markets growing by double-digits. Adjusted EBITDA for International increased 18% as a result of our strong revenue growth. Now let's dig into the specifics for each region. In the U.K., revenue increased 4%. Excluding the revenue related to the one time contracts including with the U.K. government, we would've grown about 9% in the quarter despite a challenging macro environment. Notably, higher inflation and political transition have weighed on customer activity and confidence. However, offsetting these forces, we are seeing an acceleration in TrueVision, our trended credit offering in the U.K., along with strength in direct to consumer as three of the four largest lenders now use our CreditView platform, and we're also seeing increased traction in our insurance vertical. Our Canadian business grew 10% in the third quarter, reflecting growth across the portfolio. While we see macro indicators softening a bit, our core business in the third quarter remains strong as we continue to garner new business ranging from large banks to one of the largest BNPL players. We expect these moves, once fully executed in 2023, will position us as the leader in the Canadian financial service market and the BNPL sector. Also driving growth, we continue to benefit from customers ordering incremental batch, data and analytics to recalibrate their post-COVID models in order to be recession ready. In India, we grew 39% reflecting strong market trends, successful innovation, and the benefits of our diversified portfolio. Despite rising inflation, the Indian consumer remains healthy and continues to spend aggressively. As a result, we benefit from a third consumer lending and credit card issuance, along with the continued rise of FinTech and BNPL players, all markets where we hold very strong share positions. In Latin America, revenue was up 13% with broad-based growth across our markets, including double-digit growth in many of our key markets. This strong growth reflects good macro and consumer fundamentals, ongoing new business wins, shared shifts in financial services, particularly with FinTechs and neobanks and continued uptake of CreditVision, and fraud solutions.  In Asia-Pacific, we grew 24% from continued good performance in Hong Kong, driven by CreditVision's growth, and new business with FinTech players. We expect revenue from the Philippines to double for the full year and to exceed pre-COVID levels as the economy has now fully reemerged from COVID and resumed its strong growth trajectory. Finally, Africa increased 18% based on broadly strong performance across the portfolio and the region, despite a challenging environment that includes rolling electrical blackouts in consecutive quarters of contracting real GDP in our largest market, South Africa. Notably, we won meaningful new business and secured important contract renewals in South Africa. Outside of South Africa, we have spent years establishing valuable footholds in emerging countries like Kenya and Zambia. We are now seeing the fruits of these investments with meaningful growth in these countries, particularly with micro and FinTech lenders further validating our global IP strategy. Now shifting to leverage and liquidity. We ended the quarter with roughly $5.9 billion of debt, $596 million of cash on the balance sheet, and pro forma leverage of 3.9 times. We expect to delever to 3.8 times by the end of 2022. We also intend to use a portion of our cash to prepaid debt in the fourth quarter. That brings us to our outlook for the fourth quarter and the full year. All of the guidance provided reflects Neustar, Sontiq, and Argus. Starting with the fourth quarter, we expect about three points of headwind from FX on revenue and four points of headwind from FX unadjusted EBITDA. For revenue, we anticipate about a 19 point benefit from the acquisitions of Neustar, Sontiq, and Argus. We expect revenue to come in between $896 million and $916 million, or a 13% to 16% increase on an as reported basis and flat to down 3% on an organic constant currency basis. Our revenue guidance includes an approximate four point headwind from mortgage, meaning that we expect the remainder of our business will grow 2% to 4% on an organic constant currency basis.  We expect adjusted EBITDA to be between $318 million and $333 million, an increase of 13% to 18%. We expect adjusted EBITDA margin to fall in a range of down 30 to up 50 basis points, primarily as a result of incorporating Neustar and Argus relatively lower margins. On an organic basis, excluding the three acquisitions, we anticipate our margins to increase by more than 150 basis points. We also expect our adjusted diluted earnings per share to be between $0.80 and $0.86, a range of down 2% to up 6% negatively impacted by the effect of rising rates and approximately 30% of our debt that is floating. For the full year, we expect FX to impact revenue by about two points. Based on this recent dollar strengthening at current rates, we expect FX to have a negative impact on revenues for the next several quarters. We also anticipate about 24 points of benefit from M&A. We expect revenue to be between $3.704 billion to $3.724 billion up 25% to 26%. Our guidance includes approximately four points headwind for mortgage for the full year. So excluding mortgage on an organic constant currency basis, we anticipate revenue will increase about 7%. For our business segments on an organic basis, we expect U.S. markets to grow low single digits, but up high single digits excluding mortgage. We anticipate financial services to be down low single digits, but up low double-digits excluding mortgage. We expect emerging verticals to be up mid single digits. We anticipate that International will grow in the mid teams on constant currency terms, and we expect consumer interactive to decline in the high single digits on an organic basis. Both International and consumer interactive are on change from our previous guidance. We expect adjusted EBITDA to be between $1.343 billion and $1.358 billion up 16% to 17%. We expect a two point headwind from foreign exchange. Additionally, we expect our adjusted EBITDA margin to compress 280 to 260 basis points this year, driven by the lower margin acquisitions and acquisition integration costs for Sontiq and Argus. Anticipate the margin will decline about 25 basis points on an organic basis. We expect adjusted diluted earnings per share for the year to be between $3.63 and $3.69, up 6% to 7%. And to help you complete your modeling of 2022 at this time, we expect our adjusted tax rate to be approximately 22%, slightly lower than our previous guidance. Depreciation and amortization will still be approximately $520 million, and we still expect the portion excluding step up amortization from our 2012 change in control and subsequent acquisitions to be about $210 million. Continue to anticipate net interest expense will be about $225 million for the full year. This implies our interest expense to be roughly $65 million in the fourth quarter. And as you think about interest expense modeling, roughly 68% of our debt is currently swapped from floating to fixed. We have 1.4 billion notional swaps that are expiring at the end of the year, which fixed the variable rates on that notion at 2.7%. We expect to renew that swap before the end of the year, but it is likely to come at a higher swap rate given higher and rising rates. As I noted, we will continue to focus on expected debt prepayment in the coming quarters, which will effectively reduce our floating rate exposure over time. Finally, we still expect capital expenditures to come in at about 8% revenue. Looking ahead the 2023 as usual, we'll provide you with guidance when we report our full year results next February. However, I think it's valuable to summarize some important considerations as we head into next year assuming these macroeconomic challenges persist. First and most important, we expect to deliver organic constant currency revenue growth at an attractive margin. To that point right now, we believe that mortgage inquiry volumes will decline again in 2023 with comparisons easing as we go through the year. The next two points relate back to Chris's commentary. One, the consumer in the U.S. remains relatively healthy and that bodes well for our financial services vertical, excluding mortgage. Though, we are diligently watching for any material changes. And two, some of the headwinds we're experiencing in our emerging verticals are temporal and should resolve themselves next year. We continue to expect strong performance in our International business building on an impressive 2022. And in consumer interactive, we believe that business performance will improve as we lap the contract renegotiations and some of the headwinds in direct while also benefiting from the new business wins we've discussed. As Chris also mentioned, we're seeing a very nice new business pipeline develop across all three of our acquisitions. Specific to Neustar, we have a very successful cost reduction program that is running ahead of our $70 million expectation at this point, and we expect we'll continue to deliver meaningful savings next year. And finally, my current expectation is that free cash flow will be directed to debt prepayment, helping reduce our exposure to interest rate increases. At the same time, assuming we deliver more adjusted EBITDA dollars, that will help further reduce our leverage ratio. Now pivoting to some thoughts about a more severe downturn. On our last earnings call, I spent time detailing some puts and takes relative to how our business might respond in a recession. I won't comprehensively review that story today as you can revisit the transcript at your convenience. However, I do want to reiterate the conclusion of that discussion. First, in a somewhat normal recession, we still expect our business to deliver revenue growth, and we would prioritize protecting our margins without sacrificing important investments and our commitments to integrate our recent acquisitions. This is possible because of our expansive diversified portfolio of relevant solutions and our deep partnerships built on thought leadership and innovation. In a downturn, we would keep our focus on integrating our recent strategic acquisitions to ensure they deliver against our long-term expectations, and we would manage our cost structure to ensure it aligns the trajectory of revenue growth in order to deliver strong margin performance. I want to wrap up with a slide we showed you at our Investor Day in March of this year. Despite some of the market cyclicality we're seeing and anticipating, we still expect to deliver against these targets in 2025. Clearly, we don't expect the growth to be linear, but our attractive end markets and geographic footprint, differentiated in complimentary solution offerings and innovation pipeline give us line of sight to fulfilling our long-term commitment. I'll turn the call back to Chris for some final comments.
Christopher Cartwright: Thanks Todd. So to conclude, TransUnion delivered another good quarter of growth at an attractive margin. We also continue to make meaningful progress integrating our recent acquisitions and clear top and bottom line benefits are emerging. We have appropriately recalibrated our guidance to reflect current market conditions. And while the broader environment remains uncertain, TransUnion continues to execute at a high level, giving us confidence that we can whether whatever economic uncertainty lies ahead, even as we continue to make growth oriented investments. And before I conclude my remarks, I also wanted to take a moment to acknowledge yesterday's announcement by the Federal Housing Finance Agency Director Sandra Thompson, concerning evolutions in the mortgage underwriting space. We were pleased by Director Thompson's announcement to share the FHFA's perspective that safety and soundness and expanding home ownership are the twin objectives for any reform efforts. We're optimistic that the requirement of VantageScore 4.0 score use by mortgage lenders will responsibly and sustainably expand credit access for consumers and also in time increase competition and innovation in the space. We're also equally focused on the announcement that the FHFA and the GSEs will launch a multiyear program to adopt requirements that lenders use two, rather than three credit reports for mortgage originations. We anticipate that we will play a leading role engaging with the stakeholders across the mortgage industry in the coming years, especially the FHFA as we work on appropriate implementation timelines and details. And so taking together the adoption of VantageScore 4.0, and then the migration over time from a tri-merge to a bi-merge requirement will reshape the mortgage landscape and present new opportunities for TU to sell both existing solutions, but also encourage the development of new and novel customer data products. So with that, I'm going to turn it over to Aaron.
Aaron Hoffman: Thanks Chris. That concludes our prepared remarks. For the Q&A, as always we ask that you each ask only one question so that we can include more participants. And operator, we can begin the Q&A now.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hi. I understand your slide 17 is a no recession in kind of assumption in slide 18. Is what if a recession assumption? So I want to focus on slide 17. And the TransUnion team is suggesting that 2023 will have solid organic revenue growth, but below the long-term, 8% to 10% target. So, I just wanted to know, when you say solid organic revenue growth, does that mean mid single digits organic revenue growth? And what's your macro assumption kind of underlying that?
Todd Cello: Hey, good morning Andrew, and thanks for the question. This is Todd. I'll take that. As far as slide 17 is concerned, really what we're trying to get across is that -- just our initial thinking as we're exiting 2022 and going into the New Year, as you can probably fully appreciate, we are not in a position at this point in time to provide guidance. Clearly, we're going to see how the macro environment plays out for the rest of the year and even into the New Year before we provide any guidance. So, as far as, to your question about, are we going to guide us? Are we talking about a specific percentage, a 7% to 8%? We didn't put that on the slide because, we're not certain right now as far as how things are going to play out. But what we felt was important was to give the market and our investors a perspective on just what it is that we're feeling right now. And based on the current trajectory that we are experiencing in the economy, we feel that we are going to deliver organic growth. That growth rate still to be determined, could potentially be in line with our long-term growth rate, but we don't know yet. As I'm sure many companies don't, and we provide the color just to give a directional sense as to what we're seeing. So, just to kind of go through that again, in mortgage we're expecting that to continue to decline next year. We just see no inflation pressures continuing to be very elevated. And as a result of that interest rates will respond accordingly. As it pertains to the rest of the U.S., our financial services business, I say arguably, in the third quarter still had a strong performance. The growth rates were still very good. They were lower than, clearly what we had outlined, but nevertheless, still strong performance and especially when you compare that to the growth rates that we lapped last year I think it was pretty strong quarter there. But we're cautiously watching the U.S. consumer to see -- how they, how they react to this. I'd say the emerging verticals, the growth rate that we experienced in the quarter being at about 1%. There's a lot of kind of -- as we say on the slide, idiosyncratic issues that are impacting that. And we fully expect that to normalize when we get into 2023. And I would just say that our International business continues to be very -- continues to be very strong, and resilient at this point. But again, we're watching more of the developed markets like Canada and the U.K. And then finally, I think the big positive and Chris highlighted this in his comments is that the acquisitions perform very well for us in the third quarter. Neustar was on our revenue expectations and the integration is well on track. And we've been able to secure the cost synergies that we committed to a year ago when we announced the deal, we're getting there. We're confident to achieve at least the $70 million that we communicated. Sontiq strong quarter, integration going well, and Argus as well. The business has rebounded nicely. So, we feel that the momentum even there on the M&A side is definitely in our favor as well.
Andrew Steinerman: Okay. Great. Thanks Todd.
Operator: The next question comes from Surinder Thind with Jefferies. Please go ahead.
Surinder Thind: Thank you. In terms of the -- as a follow up to the earlier question, in terms of the -- whether it's the 4Q outlook or 2023, can you just talk about the level of visibility or comfort that you have currently versus maybe under more normalized times? When I look back over the last two quarters, it seems it's been quite challenging to even predict the quarterly numbers. And so things seem to be changing faster than anticipated. Any color there.
Todd Cello: Sure. Thanks for the question on that. And I think it's more of a question pertaining to our guidance for the fourth quarter. And clearly, we have revised down from where we were at just 90 days ago roughly in our July call. And I think it's just -- it's the read from our customers and what they're telling us right now. So, just to get into a little bit of the detail. If you look at the bridge that we provided where we showed the reduction we're showing in the U.S. markets ex-mortgage that we're going to be down about $33 million. Roughly half of that is coming from financial services, including consumer lending, card and auto. But even with us taking those numbers sound like I just said in my response to Andrew's question, we're still expecting good growth rates out of those lines of business. The remainder is just more about the other verticals in our emerging verticals like tenant, tenant screening, which Chris talked about in his prepared remarks, talked about the pressures that we're seeing there, but also just maybe a little bit slowing in the media as well as in the insurance spaces, but still growing, nevertheless. So, what we've done is we've taken our outlook based on the activity we're seeing from our customers, but also just in regards to what they're telling us as well, too. And that's the reason for the reduction that we took in our guide. But things are uncertain. And we told you that when we met with you in July, and we have a wider than normal range for our guidance in the fourth quarter similar to like what we had done in the third quarter. And you can see that we delivered in range in the third quarter. So, we feel that we've captured market sentiment as well as derisked the guidance by having a wider range.
Christopher Cartwright: Yeah. So, I would just add one small thing to that, which is you did -- you started by saying it's a more difficult environment to forecast, and we agree with that. And Todd take you through the mechanics of how we've tried to be prudent in our fourth quarter guidance and anticipate some of those trends. In circumstances like these, it's easy to focus on the negatives, the deceleration against prior year performance. Prior year performance, that was absolutely very high, by the way, we're reinforcing. But there are also some positives as you look forward into next year. One, mortgage will be less of a drag, if a drag at all, to be determined than it was -- this year, International will continue to be strong. We expect a material improvement in the performance of our direct consumer business. We think the tenant screening market will become unstuck. So, there are a variety of positives that will happen as the market works toward an equilibrium. And again, as I said, we're laser focused on what's going on in the market. We're going to use -- the fourth quarter will be instructional, and then we'll provide our guidance in the early part of next year and a more robust discussion around what we're anticipating.
Surinder Thind: Thank you. That’s helpful.
Operator: The next question comes from Jeff Meuler with Baird. Please go ahead.
Jeffrey Meuler: Yeah. Thanks. Chris, would love your perspective as competition could play out for share in a bi-merge world. What's the pitch for why TransUnion should be included as one of the two? I'd imagine the industry leading trended product is a big part of it, but just what else? And then, is this also a catalyst for bringing additional alternative data products into the mortgage underwriting process from your perspective? Thanks.
Christopher Cartwright: Yeah. Well, look, it's kind of early days based on the announcement that we just received yesterday. I think the win for consumers and the win for the mortgage industry and the economy is that we'll now be using a score that we know scores more consumers in the U.S. and scores them more accurately. So, it is a win for financial inclusion and mortgage origination generally. We also like the emphasis on safety and soundness by the FHFA and the GSEs. The two factors that go into that is one scoring accuracy, which I feel like they've addressed by requiring the VantageScore, but also just the volume and breadth of information. Now, they've indicated that they're going to suggest or recommend a change in the mortgage credit report market. I think we need time to better understand what exactly that means. The agency hasn't released its details nor an implementation plan. In an environment where there is more competition, be it around score or credit, we do have a great trended credit product. We are an industry neutral player and we've got a wide range of data. And I think this will, net-net, just set off a period of innovation that could be quite helpful to the space and the consumers and the bureaus alike. But I think it's a little early now given some of these uncertainties and unknowns to kind of declare what the future is going to look like.
Jeffrey Meuler: Fair enough. Appreciate your perspective. Thank you.
Operator: The next question comes from Kelsey Zhu with Autonomous Research. Please go ahead.
Kelsey Zhu: Hey, Chris and Todd. With India now 5% of total revenues and U.S. mortgages basically expected to be less than 7%, maybe we can switch gears a little bit and talk about what's happening in India. Obviously, this March -- this quarter, you're seeing 39% constant currency growth. Could you just break that down a little bit in terms of how much of that is driven by market growth versus market share gains versus cross-selling additional products and services?
Christopher Cartwright: Yeah. Well, look, I -- we just got back from an extended trip in India where we spend time not only in Mumbai with our leading credit franchise, but also in Chennai and other parts where we've got a lot of our employees, our development talent and BPO as well. As always, it's a very invigorating experience to spend time in India, particularly with our business. India is very much emerging on the global stage economically, for sure and even politically. And you sense a tremendous optimism when you're over there. We have certainly benefited from the underlying -- the positive growth drivers in that market. Hundreds of millions of Indian citizens have entered the middle class. There's an equal tranches along the way. The government there is committed to aggressive economic growth by taking advantage of kind of the era of intellectual product and India's very kind of progressive approach to digitizing their economy. So, we're benefiting from market trends. We also think we have reinforced or gained share along the way. And we're also diversifying our product line. I mean we, of course, are bringing in the full complement of products around consumer credit and analytics, and we expect considerable growth through the broadening of the product line there. We're making a similar play in commercial where we've really improved the competitiveness of our commercial credit bureau. And we continue to innovate. We've launched a score that will help commercial lenders evaluate small to medium businesses, a very fast growing and dynamic segment of the Indian economy and also a suite of products for agricultural lending, which, again, is an underpenetrated part of the Indian market. So, the combination of natural market growth plus broadening our product line across segments and adjacencies, I think, really positions us for strong growth for years ahead in India.
Kelsey Zhu: Thanks. Really appreciate that. 
Operator: The next question comes from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi. Good morning. I wanted to talk a little bit more about the credit card and consumer lending piece of the business, because it feels like there can be quite a lot of volatility there. So, maybe help us think through as we look ahead to 2023, a potential recession, sort of what are the range of outcomes there? And what type of metrics should we be watching?
Christopher Cartwright: Sure. Well, our financial services businesses breaks down into the four subsegments: cards, consumer loans, auto and of course, mortgage. Mortgage is far and away the most volatile component of that. Mortgage was a great counterbalance during the downturn related to COVID, and it more than doubled in a couple of years because of the lower interest rates. Now the rates have reversed themselves. It's being halved again. So that's where the real volatility is. Auto's growth currently is constrained. Demand far exceeds supply currently. We would expect supply conditions to improve over time. And so, we're expecting relative stability on the auto side. And look, credit cards and consumer loans, while the growth rate has declined, it's still growing nicely. And card originations are healthy. Although, card marketing activity has tapered somewhat. The same is true on consumer loans. And the FinTechs remains strong and fast growing and we expect them to grow throughout the cycle, because they are disrupting the space. They are in aggressive growth mode. They continue to market. They continue to have secure funding sources. And so, while I think we're entering a period of likely slower growth at least until we find an equilibrium with inflation and interest rates, we do expect the space, financial services that is to remain a positive grower.
Faiza Alwy: Thank you.
Operator: The next question comes from Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Thank you. Chris, maybe just a follow-up on that. Let's just say the macro is more just soft. Historically, how has credit card performed or held up? And maybe if you could just give us something similarly around Neustar well in that scenario.
Christopher Cartwright: Well, let me handle Neustar. And then, Todd, the question was -- there is a slowdown scenario and then perhaps a scenario of deep recession, if you will. And we're not making a guess as to which one it is at this point, but Manav is trying to understand how far credit card can drop in a recession scenario and just given your experience, helping to manage the business through 2008. Any perspective you want to share?
Todd Cello: Yeah. Sure. So, as far as -- I think what's important to -- when you think about TransUnion is to think about the breadth of offerings that we have for our customers. So, where credit card marketing could potentially slowdown in a recessionary environment, and that clearly would have an impact on our prescreen marketing jobs that we produce. We do have a whole host of services on a portfolio review basis, meaning how do we help our clients manage their existing book of business. And we find that incredibly beneficial during a downturn, maybe not completely countercyclical, but it definitely is an offsetting element of it, because our customers, first, they'll look at their existing book just to understand the risk that they potentially have, but they'll also look at it -- and how to manage lines of credit, but they'll also look at it as a way to cross-sell. So, if they have a certain subset of their portfolio that's performing well, they'll look for opportunities within their own portfolio to broaden their services. The most recent example of that is in the early days of the pandemic. All of our customers shifted like almost overnight from an acquisition perspective to more of a portfolio review. And our sales team was extremely proactive in bringing those offerings to the market. And that's an important point. I know you're asking about credit cards, but I want to go back to the question just in regards to the consumer lending and the FinTech space. Chris already said, we are continuing to see very healthy amounts of marketing for the same reason that I just talked about and learnt. Now don't forget that TransUnion has relationships with 24 of the top 25 FinTechs, and we have deep partnerships with them. So, when they're marketing -- if it does slowdown, we have that same set of portfolio of products that we're going to offer to them. So -- and the relationships that we have with these clients are outstanding. So, we fully believe that we'll be able to help them better manage their business in any [indiscernible].
Christopher Cartwright: Yeah. And just on the card side, Manav, I would say that while we're definitely in a slowdown period. We are selling very effectively. 2021 was a record level of sales for us, and we're poised to exceed it materially in 2022 on the financial services side. So, what we're doing in the market is resonating and putting new customers and the like and expanding share within customers is somewhat of an offset as now to the downturn. You also asked about Neustar. I break that down [technical difficulty]. If you look back to the pandemic year of 2020, Neustar win by 1% across its three lines of business. Marketing was flat. And remember the second quarter was quite a shock to the system, and then we had a slow rebound in the third quarter, and we started to approach something like normalcy in the fourth quarter. So, I think that's a good test case for how the business would perform if it's really, really, really bad as it was in 2020. The other thing I'd just mention is that Neustar marketing solutions have value across the business cycle. The vast majority of it is subscription versus subscription like. And the components are cleansing data hygiene so that you're only mailing one-time or are gaining digitally one-time for a consumer, right? So you eliminate waste, extremely important in a downturn, as is the media mix that you're planning and the measurement of the effectiveness of your marketing efforts, if anything, those things become more important in a more constrained environment, right? Now 20% of the marketing portfolio is more volume influenced. That's the audience generation and utilization. We're already -- we've already seen that a bit on the Neustar side, and we've talked about that over the course of the year. On the TransUnion side of the house where we have -- also have similar data, but some unique things. We're growing pretty rapidly. And if you look at marketing together, and increasingly, we have to as we integrate, the marketing part of TransUnion is growing double-digits, right? So, that is encouraging. Anyway -- so that's what I can offer you on those two topics.
Manav Patnaik: Thank you.
Operator: The next question comes from Heather Balsky with Bank of America. Please go ahead.
Heather Balsky: Hi. Thank you for taking my question. You talked about some of the idiosyncratic, I guess, challenges or headwinds you're facing right now in your Emerging Verticals segment. And you help us understand kind of what's driving those. But I guess I'd love to kind of hear more about what gives you confidence in [technical difficulty] into next year. And a little bit more -- when should those things start to inflect and kind of how long it takes to work themselves out, that would be really helpful. Thanks.
Christopher Cartwright: Yeah. Heather, I'll start off and I'll focus on the first part of your question, because the timing of these things that may be a degree of precision that's just tough at this point. But look, the largest component of emerging verticals is the insurance business. And it grew mid single digits. That's off of a comp from a year ago period of 20% growth, right? And the main reason why it slowed from its typical high single, low double-digit pace is because of inflation impacting or increasing the cost of repairing and replacing damages, right? So, claims expenses on policies are up, and carriers need to charge more for those policies. But the mechanisms by which they can raise prices are complicated in the U.S. Insurance is a regulated product in all 50 jurisdictions, product-by-product. So, they are currently implementing the rate increase filings across their competitive landscape. It will take some time for those increases to be ratified. And once they are, they will resume new policy origination full force. And so, we expect that to recover. And we have seen this period in the insurance kind of business cycle multiple times before. The other unusual element is the degree of slowdown around tenant screening. And frankly, there's just -- there's kind of a boycott in the market. And you are starting to read about it in the mainstream press. Price increases on apartment rentals in the multifamily space, in particular, have been really considerable and compounding, and now tenants are just not able to or not willing to move. And whenever there's a supply/demand imbalance, it takes a little bit of time to work it out where we start transacting again. I'm confident we are going to find that equilibrium. We are going to start transacting again. And the one bright spot in new home construction, if you will, is multifamily rental units. It will take some time for that supply to come online, but that's going to be helpful in the intermediate term to increasing the transactional volume. Public sector is truly an anomaly. We had some big one-time work in the third quarter of last year, and we also had a new sale that pushed to the fourth quarter. And those two things led to a down quarter. We don't expect a down quarter in the fourth quarter and we expect this area to continue to grow nicely for us. In communications, look, we had two major communications clients. They're big fraud client users merge. And as they digested the merger, they've recalibrated their need for the product at a lower level. We maintain the exclusive supply relationship, but we've had to reduce our transaction volume that happens with M&A. The good news is they're still our client, but their dollar volume fell a bit. The last component is collections. Collections has been a very difficult area for many years here. I'm more encouraged about our ability to grow collections, because the amount of stimulus or support being provided by the government is kind of running its course. And deferral and moratoriums and the like on debt collection or evictions are ending. And so, in 2023, I think we're turning a page and entering a more normal environment where we're going to get some growth in the collections area. So that's the various puts and takes that made, I think, Q3 anomalous in our emerging markets. And hopefully, I help you understand it better.
Todd Cello: And Chris, I would just add on to it. [Technical difficulty] year in 2023, our Neustar business will be considered organic.
Christopher Cartwright: Yeah.
Todd Cello: At that point in time and for the reasons Chris gave pertaining to marketing, I think it's also important to highlight the risk in the fraud business that we have now in conjunction with -- started bringing that together with the capabilities that TransUnion already had, but also the communications business as well. Those are two businesses that should perform relatively okay in a down environment, and that also should be a contributing factor to the growth rate for the year.
Christopher Cartwright: Yeah. That's a good add. So, my commentary was focused really on [technical difficulty] TransUnion and the Neustar stuff has been [technical difficulty], but those are solid growers. And as you saw in the third quarter, we had solid performance across Neustar portfolio [technical difficulty]. Next year that's going to average our performance overall.
Heather Balsky: Thank you.
Operator: The next question comes from Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Perfect. Thanks. Historically, Todd, you've had really a beat and raise strategy when providing guidance. And this quarter, it seemed like it's driven by a reduction in organic growth as opposed to FX and mortgage like last quarter. And I know at the beginning of the year, you talked about incorporating less conservatism into the guide. But just trying to get sort of an update on where we are now. Is this a conservative guide, a realistic guide? Is it -- there's so much uncertainty in the macro right now? So, I know you mentioned it's wider because of that. So, just wanted to get an update on that.
Todd Cello: Sure, Toni. Be happy to. I think it's a fair question to get into. So, as I said earlier, the reduction that we took in the fourth quarter is really just a combination of what we're seeing on a daily basis with the work that our clients are giving us, but also more instructively, what our clients are telling us. And our U.S. business does a great job at working through our various advisory board. So, they hear directly from the buyers as to what they're expecting and what their sentiments are. So, we take those two factors together and that's, in essence, how the forecast comes together for us. I think that I'd say that all of our guidance has always been rooted in reality. So -- and that goes back to when we were in the beat and raise day. Just the macro has changed so significantly on us. If I were to think about two, three years ago, when we were beating and raising, we were in a very different macro environment where today, obviously, we're dealing with high inflation rising rates. We're all trying to gauge consumer sentiments and watching their savings rates and their spending patterns. So, we're trying to figure out all of that. And so, where we ended up with is the guide that we did based on all of those inputs. I'd love to tell you that it's conservative and that we got another beat and raise, but I don't have that assurance. And I think that's, again, like we said earlier, why we widened the range as well, too, which was something that we did in the third quarter, as I said earlier, that enabled us to deliver revenue in the range. And I think if you think about the third quarter, FX became a significant headwind. Something about $4 million of an impact of it. So just widening the range accounting for that. What we have all thought that the dollar would have strengthened as much as we did in the [technical difficulty], I think a lot of companies are talking about that.
Christopher Cartwright: Yeah. So, net-net, realistic guidance, perhaps a little additional downside sentiment in the quarter [technical difficulty] relative to the guidance, but we're dealing with the sea change in macroeconomic conditions and so less certain.
Toni Kaplan: Super. Thank you.
Operator: The next question comes from Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi. Good morning. Thanks for taking the question. I wanted to ask a question on the International outlook, specifically as it relates to your considerations for 2023. Obviously, you expect another strong year. That seems to be a bit more optimistic than maybe the financial services business ex-mortgage. Can you just dive into that a little bit more? What gives you confidence in maybe the disparate growth assumptions for next year? Is it more about the economic backdrop in those regions? Is it new product development? Is it maybe some lag there in terms of how those economies are progressing relative to the U.S.? Any additional color on why it seems like International is you're going to be a bit more resilient or at least stronger next year than what you're expecting in the U.S. ex-mortgage? Thank you. 
Christopher Cartwright: Yeah. So, when we think about our International division in terms of emerging markets and developed markets as well, starting with the emerging, India, Latin America, South Africa and even across the Asia-Pacific portfolio, they are digesting -- well, first of all, the level of inflation increase is lower in those markets, and particularly India, in part because there wasn't the amount of stimulus injected into those economies, right? So, they're not suffering from higher inflation as a result of those actions. As a result, GDP growth and just vibrancy is higher there. India is fueled by all of the things I talked about; favorable demographics, great business and digitally friendly government posture. And then, we're diversifying our product lines. And so, we're enjoying rapid growth in new areas, and there's more to come. Latin America is a very similar story to India, but on a smaller scale population wise. South Africa, we've invested a lot in improving our effectiveness in that market. And I think it's starting to bear fruit. We're growing well in South Africa and very rapidly in the countries across the continent that we compete in. We've been winning new business nicely. And in Asia-Pacific, it's a similar story as well. Hong Kong is performing exceptionally well. The Philippines are back. There's also some element in our emerging markets of the rebound from the COVID chapter, right? And these economies, these countries emerged a little later from the pandemic than in the U.S. But overall, I just think it's a more favorable mix of growth drivers. Now in Canada and the U.K., in both of these markets, underlying is high single digit organic growth. It's tempered somewhat in each market. Canada had some one-time revenue that it had to lap. But in Canada, we continue to win new customers and that's positioning us well for next year. And in the U.K., the growth -- the headline growth number is lowered by the very large contract we had with the government over the year in that contract. But as the pandemic has eased, so the revenues associated with that contract. So, next year, we would expect, given all of this, continued strong growth in International. That's an important element of [technical difficulty] recently material TransUnion overall.
Aaron Hoffman: Great. And we will wrap it up there. I think it's a great question to end on, actually. A very exciting story in International. I know it's a very busy earnings day as we're in the midst of the earnings season. So, we're going to give you guys a little bit of time as well as a little bit of time here. Thank you all for joining us today and we hope you have [technical difficulty]. Thank you
End of Q&A:
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.